Operator: Greetings and welcome to the Empire State Realty Trust Fourth Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Thomas Keltner, General Counsel for Empire State Realty Trust. Thank you, sir. You may begin.
Thomas Keltner: Good morning. Thank you for joining us today for Empire State Realty Trust’s fourth quarter and full year 2014 earnings conference call. In addition to the press release distributed last evening, a quarterly supplemental package with further detail on our results has been posted in the Investor’s section of the Company’s website at www.empirestaterealtytrust.com. On today’s call, management’s prepared remarks and answers to your questions may contain forward-looking statements, as defined in the Private Securities Litigation Reform Act of 1995. Examples of forward-looking statements include those related to revenue, operating income and financial guidance as well as non-GAAP financial measures such as FFO, core FFO, modified FFO, same-store results and EBITDA. As a reminder, forward-looking statements represent management’s current estimates that are subject to risks and uncertainties which may cause actual results to differ from those discussed today. Empire State Realty Trust assumes no obligation to update any forward-looking statement in the future. We encourage listeners to review the more detailed discussions related to these forward-looking statements contained in the Company’s filings with the SEC. We also caution that prior period results which are referenced in any comment today may not necessarily be reflective of the results for Empire State Realty Trust if it had truly been a standalone entity during the periods presented. Finally, during today’s call, we will discuss certain non-GAAP financial measures which we believe are meaningful in evaluating the Company’s performance. The definitions and reconciliations of these measures to the most directly comparable GAAP measures are included in the earnings release and supplemental package, each available on the Company’s website. This morning’s call is hosted by Empire State Realty Trust’s Chairman, President and Chief Executive Officer, Anthony Malkin; President and Chief Operating Officer, John Kessler; Director of Property Operations and Leasing, Thomas Durels; and Chief Financial Officer, David Karp. They will make introductory comments, after which we will open the call to your questions. Now, I will turn the call over to Tony Malkin.
Anthony Malkin: Good morning. We are delighted to welcome you to our fourth quarter 2014 earnings conference call. On today’s call, I will begin with a brief overview on updates. John Kessler, our new President and Chief Operating Officer will introduce himself and make a few remarks. Tom Durels, our Executive Vice President and Director of Leasing and Operations will then provide an update on our portfolio. And David Karp, our Executive Vice President and Chief Financial Officer, will review financial results in more detail and discuss our balance sheet. Empire State Realty Trust is a pure play Manhattan and New York City metro area office and retail real-estate portfolio. We believe our portfolio offers a unique opportunity to capture upside through our continued redevelopment and releasing of our properties, leasing them at market rates and bringing their occupancies to market. Over time, we intend to contribute additional growth through the addition of assets. We believe in our ability to execute on our strategy and our ability to drive meaningful derisked growth in cash flow and create long-term value for shareholders. Since going public in October 2013, we have consistently executed on the initiatives and strategy that we set forth in our IPO road show. Over the past year, we’ve achieved meaningful progress on our redevelopment and repositioning program. In 2014, we leased approximately 785,000 square feet of office and retail space and achieved leasing spreads of over 20% overall and 31.5% with respect to new office leases in Manhattan. This is what we mean when we talk about derisked growth. In July, we exercised our options to acquire 112 West 34th Street and 1400 Broadway, adding incremental growth potential and greater diversity to our portfolio. Even after the first quarter’s challenges from the terrible weather and flight cancellations in January, the Empire State Building Observatory set a record for visitors and revenue in 2014 and we delivered two new amenities to the Empire State Building as we continue its transformation into the premier Urban Campus within a single building in the heart of Manhattan. We have further diversified our balance sheet and we continue to have one at the lowest leverage levels in our sector. Since our IPO, my family has sold no share and remains a major stakeholder in the company. Our interests remain aligned with our shareholders with the same objectives of value creation, capital appreciation and a growing and safe current return. Just a few weeks ago, on February 2nd, we announced the news that John Kessler joined ESRT as President and Chief Operating Officer. We, as a team, are and I personally am very happy to be working with John. We wanted to make sure we are well positioned not just to perform on our objectives stated at the time of our IPO, but also for growth. I was looking for a partner who could take on certain operational responsibilities, help our team and work with me on new initiatives towards growth. We conducted an extensive search over many months and involved the Board and senior management. We found that John was absolutely the right person for this job. He has the skill set and experience in activities ranging from management to capital markets to complicated transactions. He is a cycle-tested real estate executive with a long history of success in building businesses and relationships. Our press release set forth clearly John’s role with ESRT and the changes in my role. In summary, John will focus on our organization day-to-day while also working with me to help execute and identify future opportunities to grow ESRT. The leadership structure, with John focusing on the execution of our real estate operations performance and capital markets along with spending time interacting with the investment community, will provide me more time to focus on strategies for growth. As we complete the onboarding process with John, in addition to my observatory and branding roles, I will focus on acquisitions and continue my involvement in the forging and strengthening of relationships with major tenants and potential partners. It has been a short four weeks since John’s work with us commenced. But he is already deep in the flow of our business, and contributing. I am truly pleased with his decision to join us and I am delighted to have John here today with us on the call. John?
John Kessler: Thank you, Tony, and good morning, everyone. I joined ESRT earlier this month and prior to that, I spent a great deal of time getting to know the company and the team. Needless to say, I’m very excited to be part of an outstanding organization that is well positioned to grow for the long-term, given our low leverage balance sheet and the significant redevelopment opportunities in front of us. I’d also like to thank the entire management team and the Board for their support as I take on my new role. In my first few weeks on the job, my primary focus has been to immerse myself in the company and get my arms around the day-to-day business. I have been getting to know the rest of the management team, our processes and practices and, importantly, our assets. It’s not just the experience and commitment of our team which has impressed me, it’s also their welcome of me and their honest efforts to help me get up to speed as quickly as possible. My initial takeaway is that I’ve joined an extremely well-run organization. The leadership team in place has decades of experience working together. I look forward to partnering with Tony, Tom, David and the rest of the senior team here as we execute on our strategies to reposition the portfolio and grow the company. In my new role, I will be additive to the team and not looking to change our direction. I will work with the team to enhance our day-to-day operations, capital markets and investor relations activities and work with Tony as we identify and pursue attractive growth opportunities. ESRT has an excellent portfolio of assets with a clear path for growth for many years ahead through innovative redevelopment program which is well underway. We will remain focused on delivering solid returns for our shareholders. I look forward to meeting many of you in person at our inaugural investor day which we will be hosting on March 30th at the Empire State Building. We have an exciting day planned with some interesting new presentations from an extensive group of our executives along with an informative property tour. I’ll now turn the call over to Tom who will provide an update on our portfolio. Tom?
Tom Durels: Thank you, John. Good morning, everyone. I would like to start off by welcoming John Kessler to the Empire State Realty Trust team. Over the months of the recruiting process, I had the opportunity to spend time one-on-one with John and was really favorably impressed by him. Let me show you that John has jumped right in, rolled up his sleeves and is contributing already. On today’s call, I will review our overall leasing activity in the fourth quarter, highlight a few leases that were signed subsequent to quarter and provide an outlook for the coming year on leases for vacant space and our undeveloped tenant spaces that we continue to consolidate, bring to market and lease at higher rents. Our fourth quarter leasing results saw 63 new and renewal leases signed totaling 200,000 square feet of office and retail space. Approximately 191,000 square feet of this activity took place within our office portfolio and approximately 146,000 square feet in our Manhattan office properties. At December 31, 2014, our total portfolio was 88.6% occupied and including signed leases that have not yet commenced, our portfolio is 89.6% leased. On a same-store basis our portfolio occupancy is flat quarter-over-quarter and up 310 basis points year-over-year. Also on a same-store basis our signed leases not commenced percentage is up 10 basis points quarter-over-quarter and up 270 basis points year-over-year. Now the total portfolio occupancy was impacted by an intentional lease termination in the Empire State Building which I would discuss in more detail in a moment. We continue to drive strong rental growth spreads across our portfolio. And during the fourth quarter, rental are new and renewal leases across our entire portfolio were 26.2% higher on a cash basis compared to prior escalated rents. Our average cost for tenant and improvements and leasing commissions on all new and renewal leases within the portfolio was $49.31 per square foot. For the full year, we leased nearly 785,000 square feet of space in our total portfolio and achieved a leasing spreads of 20.2%. 621,000 square feet of this space was in our Manhattan office properties at spreads of 23.4%. And spreads for new leasing in our Manhattan office properties were 31.5% for the full year. These strong positive spreads are a testament to the hard work of our leasing teams, the success of our redevelopment program and the strength of our submarkets. Following the close of the fourth quarter, we signed significant leases on 112, West 34th Street and 11,300 square-foot retail lease with the international powerhouse, Sephora, to occupy a portion of the ground floor space currently leased to Foot Locker through April 2016. At the Empire State Building, we signed a 27,000 square-foot office lease for a full floor with General Media. And at the Empire State Building, we have lease out for signature for 78,000 square feet on three floors of office space. At our flagship property, the Empire State Building, we are 84.8% occupied, down 120 basis points from the previous quarter. However, including our signed leases not yet commenced, our leased percentage is now 86.3%. The occupancy reduction is largely related to the intentional combination of a lease of 52,000 square feet on the tenth floor of the Empire State Building with Global Brands Group for which we received $4.4 million in termination fees. Empire State Realty Trust will be moving its corporate headquarters from the company’s current space on the 6th, 26th and 48th floors of One Grand Central Place to utilize approximately 35,000 square feet of the vacated tenth floor at Empire. The balance of the space in the tenth floor will be offered as pre-builts. And the combination of this lease was a strategic move as the in-place fully escalated rents paid by Global Brands Group was just $41.95 per square foot, whereas the two tower floor spaces at One Grand Central Place on the 26th and 48th floors will be redeveloped to be released at higher rents in the 60s per square foot. And additional space we occupy in the sixth floor on One Grand Central Place is a pre-built, which we expect to lease in the mid-50s per square foot. And finally, an additional space we occupy in the 30th floor of Empire State Building is a pre-built which we expect to lease for in high 50 dollar per square foot range. In 2014, we started the year at Empire with four full floors available for lease and during the year, we leased four floor leases with LinkedIn, Bulova, BrightRoll and most recently with General Media. And as mentioned before, we have a lease out for signature and three or four floors, which leaves us with one full floor available for lease up and one additional full floor which has been consolidated and white box work is underway. At Empire State, our new amenities including STATE Grill and Bar and the tenant-only 15,000 square foot gym and conference center were fantastic. And they have been exceptionally well-received by brokers, counter prospects and our existing tenants. As we look ahead to 2015, we see opportunity to create value as we continue our strategy to consolidate, vacate and redevelop tenant spaces in order to lease to better quality tenants at higher rents throughout our Manhattan portfolio. On occasion, we will renew certain tenants short-term at lower rents to maintain near-term cash flow while we line up lease expirations prior to vacating spaces for redevelopment. As we have said in the past, occupancy may fluctuate in the short-term as we take space offline in preparation for redevelopment and releasing to better tenants at higher rents. Within our Manhattan office portfolio, we have approximately 2.2 million square feet of space left to redevelop and release. 600,000 square feet of this space is at the Empire State Building and 1.6 million square feet is in the balance our Manhattan office buildings. We believe that we will be able to achieve strong positive spreads against current in-place fully escalated rents as evidenced by our report of spreads of 31.5% in our new Manhattan office leases this year-to-date. During 2015, within our Manhattan office portfolio, we plan to intentionally vacate over 325,000 square feet of office for the purposes of consolidation and redevelopment, this combined with a rollover of an additional 210,000 square feet, largely due to legacy tenants that cannot afford to pay market rents for our improved properties will result in a total of 535,000 square foot of tenant spaces expected to vacate across the Manhattan portfolio this year. The intentionally vacated space combined with our existing inventory of vacant space will fuel our pipeline of marketable, redeveloped space of nearly 320,000 square feet to be redeveloped in 2015, of which approximately 125,000 square feet is at Empire State Building and the remaining 195,000 square feet is within our other Manhattan office properties. And another 400,000 square feet will be redeveloped in 2016. And again, of which approximately 90,000 square feet is at Empire State Building and the remaining 310,000 square feet is within our other Manhattan office properties. Now remember, that space that is vacated requires time to execute on the work to redevelop and then must go through lease up. So it is likely that a good deal of the space that is redeveloped in 2015 will not be leased until 2016 and, likewise, much of the space that is redeveloped in 2016 will be leased in 2017. Depending on our new leasing activity this year and rollover of the remaining spaces that expire in 2015, these vacates may result in our portfolio occupancy rate remaining flat over the course of the year or potentially decreasing modestly. Now, I’ll highlight, the key office availabilities that we will be marketing in 2015 include 13 full floors, seven available now and six to be delivered in 2015 of approximately 330,000 square feet at Empire State Building, 250 West 57th Street, 112 West 34th Street and 1400 Broadway. And over 326,000 square feet of new pre-builts, of which 148,000 square feet are available now and 178,000 square feet to be delivered in 2015, and redeveloped partial floors. We also have significant retail space that we are currently marketing, including the remaining space at 112 West 34th Street of 72,000 square feet with 13,000 square feet on grade and 59,000 square feet on the lower and second levels, located directly opposite Macy’s flagship and that is currently occupied by Foot Locker whose lease expires in April 2016. We have 7,000 square feet at 250 West 57th Street and significant multilevel retail spaces at the Empire State Building that totals 44,000 square feet that will be brought to market in 2015, 2016 and 2018. Overall, I’d say that we continue to see a solid level of activity in our submarkets with strong interests at all buildings. We remain confident in the long-term value creation of our strategy and believe our strong leasing results and leasing spreads in 2014 are a direct result of that strategy. Now let me add my invitation to Johns [ph] to our March 30th Investor Day. We look forward to hosting you and have a very interesting program planned. Now I’d like to turn the call over to David Karp, our Chief Financial Officer. David?
David Karp: Thanks, Tom, and good morning, everyone. I’m going to add my congratulations and welcome to John. Now, more than three years since I came onboard, I’m happy to pass the mantle of new kid on the block on to John. More importantly, I can already see from the search process his shadowing [ph] us before he officially started and the way he has delved right in that he will be a veteran of ESRT like the rest of us in no time. It will be beneficial to all of us to have some lift for Tony in his role and to have John bring his knowledge and experience into the operation and growth of ESRT. Now, onto the financial performance. I’ll begin with a review of our fourth quarter and full year 2014 results followed by an update on our balance sheet and after that, we will be happy to take your questions. As Tony mentioned, since our IPO in late 2013, our team continues to focus on the execution of the initiatives and strategies we communicated at that time. We believe that our results in the fourth quarter and for 2014 reflect this effort. To that end, we reported core FFO of $65.2 million or $0.25 per diluted share for the fourth quarter 2014. For the full year 2014, core FFO was $227.4 million or $0.89 per fully diluted share. For the fourth quarter 2014, core FFO excluded approximately $3.8 million of prepayment penalty expense and deferred financing costs write-off and approximately $2 million related to the amortization of below market ground leases. Combined, these expenses totaled approximately $5.8 million which was excluded from FFO in the fourth quarter 2014 to determine core FFO. For the full year 2014, core FFO excluded approximately $4.6 million related to the amortization of below market ground leases, approximately $3.8 million of prepayment penalty expense and deferred financing cost write-off, approximately $3.4 million of acquisition expenses, nearly $1.4 million of expenses related to our private perpetual preferred offering and $540,000 of gains net of income taxes on the settlement of a lawsuit related to the Observatory. Combined, these expenses totaled $12.6 million which was excluded from FFO in the full year 2014 to determine core FFO. Additionally, going forward and as you saw on our press release yesterday, the company will report modified funds from operations in addition to the FFO and core FFO measures already provided. Modified FFO is defined as FFO plus adjustments for any above or below market ground lease amortization. Under the accepted definition of FFO, the acquisitions of the ground leases at 1400 Broadway and 112 West 34th Street, which are significantly below market, require us to charge non-cash amortization that is material to our FFO calculation. This non-cash charge reduces FFO and is consistent and predictable at $2 million for the fourth quarter of 2014 or $0.01 per fully diluted share. We consider modified FFO as a useful supplemental measure in evaluating our operating performance due to the non-cash accounting treatment under GAAP. For the fourth quarter, modified FFO was $61.4 million or $0.23 per fully diluted share. For the full year 2014, modified FFO was $219.5 million or $0.86 per fully diluted share. Turning to our Observatory operations, the Observatory hosted approximately 997,000 visitors in the fourth quarter 2014, representing a 1.8% increase from the same period in 2013. Additionally, we are pleased to report that Observatory revenue for the fourth quarter grew 10.9% to $28.2 million compared to the fourth quarter of 2013 due to increased admissions, higher admission pricing and a more profitable mix of ticket sales. I’d like to remind you that tourist visits to New York are seasonal and the fourth and first quarters attract fewer tourists which is reflected in the Observatory’s performance. For the full year, the Observatory hosted approximately 4.3 million visitors, an increase from last year’s record attendance. Revenue increased 9.5% to $111.5 million due to such higher admissions, higher ticket prices and more profitable mix of ticket sales. Turning to our balance sheet, we maintain a low leverage balance sheet with significant capacity and flexibility to fund our capital investment program and which allows us to take advantage of opportunities for growth as they present themselves. At December 31, 2014, we had total debt outstanding of approximately $1.6 billion with a weighted average interest rate of 3.55% and a weighted average term to maturity of 3.6 years. Approximately $1 billion of this debt is fixed rate with a weighted average interest rate of 4.8% and a weighted average term to maturity of 3.9 years. The remaining $605 million of debt is variable rate with a weighted average interest rate of 1.49% and a weighted average term to maturity of 3.1 years. At the end of the fourth quarter, our leverage ratio reflected by consolidated debt to market capitalization was 25.4%. And we continue to maintain one of the lowest leverage balance sheets in our industry. Our credit facility has a total capacity, including the accordion feature of $1.25 billion. At December 31, 2014, the outstanding balance on the company’s term loan and revolving credit facility was $470 million. Additionally, during the fourth quarter, the company refinanced a mortgage loan on the Metro Center property with a new $100 million 10-year mortgage loan with a fixed rate of 3.59%. Refinanced to mortgage loans on One Grand Central Place with a new $91 million mortgage loan due in 2017 and bearing interest at LIBOR plus 1.35%. Repay to maturity, the mortgage loans on 500 Mamaroneck Avenue and 250 West 57th Street in the second lien mortgage loan on 1350 Broadway and extended the mortgage loan on 1359 Broadway to August 2015. Subsequent to the end of the fourth quarter, on January 23, 2015, the company terminated the $800 million secured term loan and credit facility and entered into a new $800 million unsecured revolving credit facility which like the previous facility has an encoding feature that allows for an increase in capacity to $1.25 billion. The facility matures in January 2019 with two additional six-month extension options under certain conditions. We are pleased with the additional flexibility and improved pricing that this unsecured credit facility provides. At December 31, 2014, the company has approximately $44.1 million of debt maturing in 2015 and no maturities in 2016. We believe we have significant flexibility in our capital structure and we are currently evaluating long-term financing options. We continue to work toward and investment grade rating as we’ve indicated and will provide you with updates as and when anything material occurs. As you may recall, our lockup period for operating partnership units expired on October 7, 2014 at which time, holders of operating partnership units could convert their holdings into Class A shares which are listed and traded on NYSE. As of February 20th, we had redemption requests from operating partnership units and Class B common shares to Class A common shares totaling 12.1 million shares or approximately $216 million at the closing share price of $17.85 on February 24, 2015. This represents a 14.8$ increase in Class A shares since our IPO. On December 1, 2014, our board of directors approved a quarterly dividend of $0.085 per share. This dividend was paid on December 31st to shareholders of record on December 15th. In closing, we are pleased with our results from 2014 and we look forward to another strong year in 2015. I also look forward to seeing many of you at our investor day on the 30th of March at the Empire State Building. It will be a great opportunity to meet more of our team members gather additional information about ESRT and to some great properties. With that, I would like to open the call for questions. Operator?
Q - Brad Burke: Hey, good morning, guys. Anthony, I wanted to ask about, not the decision to bring on John himself, but the decision to add additional senior level capacity in general. I mean you’ve all clearly been very busy with the IPO. You’ve dealt with some lawsuits, you have exercised the option, I mean to your option properties. I would personally argue that you’ve done pretty well with all of that on your plate. And I was thinking that 2015 might be a little bit easier year for you. So I was wondering if we should be thinking about you adding anything significant and new to your plate that would necessitate bringing additional fire power at the senior level.
Anthony Malkin: Well, Brad, first of all, welcome. And second of all, I just want you to know that John Guinee and Mr. Knott both were looking for your help in bringing those two firemen up the Empire State Building ramp [ph]. So they competed extremely well and will start the slot for you next year.
Brad Burke: You are right to call me out for that. I am sincerely embarrassed.
Anthony Malkin: No, seriously, it was great fun. So look, I appreciate the question. We came public with the team in place and we’re doing a great job executing. I wanted a partner to give me and the team list on the day-to-day basis and allow more focus on go-forward strategy and execution. So we wanted to bring on a person that will partner not just with me but with the entire management team and that will continue executing in their current roles and responsibilities. I did not take this company public to retire. That’s not in my plan. I appreciate your kind words. But John’s skill in complicated transactions and his ability in management are welcome to us as we look to prepare ourselves for growth while we continue to focus on our original strategies of redeveloping our portfolio.
Brad Burke: Okay. And I guess that’s probably a good transition to my next question. You made a comment in your Press Release balance sheet changes, supportability fund, future capital plan and acquisitions as and when we make them. And this does seem like more direct talk on acquisitions than I think you’ve given in the past. So I wanted to know whether we ought to read more into that whether you’d be looking at any sizeable in the portfolio in the near-term?
Anthony Malkin: Sure. And I think we should speak to go argue is not growth for growth’s sake, but optimal returns that we want for new investment. The fact of the matter is that what our competitors for new acquisitions, and there are a lot of them, don’t have is our tremendous potential for derisk internal growth as we continue to execute our plans to redevelop our portfolio. With that in mind, however, there’s no question that we have been active in looking at situations. But we’re going to remain disciplined as we go forward. I would repeat, as we’ve said many times, our company is steeped in doing complicated things. That’s I think a competitive advantage for us. And John’s background also speaks to transactions involving complicated things.
Brad Burke: Okay. I appreciate that. I guess we’ll know when we hear about it. And then just on the Sephora lease. I know you have a lot of retail availability left and it’s both at grade, you have a floor above grade and below grade also at the property. So I was wondering if you could comment on how the space that’s still available compares to what you just leased, how we ought to think about that lease rate versus what you were able to achieve with Sephora.
Tom Durels: Sure. First, starting with the Sephora lease, that was about 11,300 square feet. We had an ask on that space of $1,000 a foot. All of the Sephora space is on grade on ground floor. The remaining space is about 72,000 square feet. We think that that space is going to divide into two separate space, one of 34,000 and the other is 38,000 square feet. But to give your perspective on that, about 13,000 square feet is on ground. And then the balance is on either the lower level or second floor. Arguably, the ground floor space is the more valuable space. But I would discount roughly 3,500 square feet of that West [indiscernible] 33rd Street west of our loading dock. But the balance of that ground floor space of just 110,000 square feet, we think as every bit as valuable as the Sephora space.
Brad Burke: Okay, okay. So approximately three-quarters or so of the remaining ground floor spaces is comparable to what you just leased to Sephora.
Tom Durels: That’s correct. I think that should give you a better perspective on this. First of all, Foot Locker’s lease expires at the end of April of 2016. The fact that we were able to sign Sephora so far in advance of Foot Locker’s lease expiration speaks to the true value and the demand for that very unique space sitting directly opposite Macy’s on a very dynamic street. But I think that once you think about the aggregate rent for once we release all of this space, all of the Foot Locker retail space on three levels, in the range of anywhere from $20 million $24 million, when all is said and done.
Brad Burke: Okay. I appreciate the color. Thank you, guys.
Operator: Thank you. Our next question is coming from the line of Craig Mailman with KeyBanc Capital Markets. Please proceed with your question.
Craig Mailman: Good morning, guys. Tom, I appreciate the detail in the prepared remarks. But I just wanted to clarify some stuff that I may have missed. The availabilities you guys have at the Empire State Building now, I thought I heard one full floor, of course, one being white-boxed I think. Can you just compare that again? So lease out for signature of 78,000 square feet, would that be a later commencement including some of the stuff you guys plan on redeveloping throughout this year or kind of give us some more detail on how that would be situated in the building.
Tom Durels: Yes, sure. Just to recap where we were at the start of last year, we were targeting eight full floors. We’ve since leased four of those to LinkedIn, BrightRoll and Bulova and the latest being General Media signed after the end of the fourth quarter. That left us with four full floors, three of which we have leased out for signature. That leaves us with one full floor that’s now available. We’re in the process of demolishing and white boxing an additional full floor. And then throughout the course of the year, we have targeted bringing to market partial floors and pre-builts. And at the very end of the year, two additional full floors that we have targeted for development making available to the market.
Craig Mailman: Okay, that’s helpful. And then just on the intentional lease term, are you guys going to be nimble like this with moving your office space throughout different buildings or is this sort of a one-time deal to get at the One Grand Central space and just off [ph] there?
Tom Durels: Right. Well, first, I made comment in my remarks, we’re going to be consolidating all of our offices that are spread up across multiple spaces at One Grand Central Place and a small unit at Empire State Building into one consolidated office on the tenth floor at Empire. We think that it’s going to provide us greater operational efficiencies or a collaborative work environment. The space that we took back from Global Brands Group was paying the low 40s per square foot, roughly $41 per square foot. The space that we will be vacating that we currently occupy at One Grand Central and a small unit at ESB, we expect to lease in the high 50s and low 60s per square foot. So it represents upside for us taking space offline that was paying below market rents and then putting on to market space that we will rent for significantly greater rents.
Craig Mailman: Okay. And then just on the - you went through and gave it a good detail on what’s kind of vacating, and on the 535,000 square feet, how should we think about the timing per quarter of the chunks of that? Is it pretty ratable or is there any concentration in any one quarter?
Tom Durels: There’s really no concentration. It really rolls throughout the year. And think of that as a rolling process for us. As we vacate space, we redevelop it and then we release it. And that’s why I made the comment that as we develop space in 2015, much of that space we expect to be leased in 2016. Similarly, space that we develop in 2016, much of that space will be leased into 2017. And then the process will continue on for at least 2017. But I think what’s most important is that we have our plan, we have the identified spaces that we want to take back, consolidate and redevelop. And it’s going to fuel our pipeline for marketable space in ’15 and ’16.
Craig Mailman: Okay. And then just lastly, I want to hit on the Observatory. There’s been a lot of concerns with the strengthening dollar on the impact on tourism. Clearly, you guys are able to drive attendance and revenues nicely. Have you guys seen any impact on that or seen any impact as we head into 2015 here? In the past, you guys have been giving too much of a breakout of kind of where your customers come from, I was hoping maybe you could give us a sense of how much is domestic versus foreign.
Anthony Malkin: Right. Hi, there. Tony here. The fact of the matter is New York City is a global city and it’s one of the most popular tourist destinations in the world. I think that we are really not going to try to take the lead in interpreting the impact of the dollar on global tourist trends. But you can look to sources like NYC & Co which is the official New York City tourist bureau to track data on incoming tourists. I will tell you that you can also look to our historic performance and track that through economic cycles and you’ll see that really it takes a massive economic disorientation. And we’ve had one slightly minutely down year over the history that we’ve been tracking it. You can take a look at on our website at our investment presentation materials there’s a great chart on that. And other than that, we really focus on the full year and there are always changes - there’s weather and et cetera. We focus on the full year and we just focus on the fact that in 2014, we produced record results by attendance and revenues. And we’re very much comfortable looking forward to 2015.
Craig Mailman: And because I guess in ’13 which is the last year that New York City kind of gives us the numbers, I guess 79% were domestic visitors. It would seem like you guys skew maybe a little bit more foreign visitors than that. Is that kind of fair? And maybe what’s the magnitude, if it’s 80-20 overall? Is there kind of a goal post you could give us for your breakdown?
Anthony Malkin: Right. It’s a real mix and it varies during economic cycles. During downturns, the domestic visitor travels less afar and more nearby and we pick up a boost in domestic visitors. I will say that the fact of the matter is we have a very comfortable mix. It doesn’t have a lot of big swing and the only guidance and a clear priority I can give you is that it’s not as skewed as you represented. It’s really a very even - very close to even mix.
Craig Mailman: Great, thank you.
Operator: Thank you. [Operator Instructions] Our next question is coming from the line of Jamie Feldman with Bank of America Merrill Lynch. Please proceed with your question.
Jamie Feldman: Great, thank you. Good morning. Tom, can you talk a little bit more generally about what you’re seeing in terms of leasing demand, both in the Time Square South submarket and then also what’s going on in the suburbs? I saw there was an occupancy loss in the suburban portfolio also.
Tom Durels: Sure, Jamie. I’ll tell you that we’re off to a strong start in 2015 having signed the full floor lease with General Media at the Empire State Building, the very significant retail lease with Sephora at 112 West 34th Street. We have active proposals, showings, leases and negotiation - leases out for signature throughout the portfolio. I think that we like the activity that we’re seeing and we’re off to a strong start for the quarter. As I mentioned before, we have a significant lease out for 78,000 square feet at Empire State Building. And there’s other activity that we’ll make announcements on as we go forward in the months ahead. Actually, in the greater New York metropolitan portfolio, actually we’re at just under 93% leases signed but not yet commenced. So we have very modest amount of space available. We have very little space rolling over in 2015 and ’16 and as I have commented before, addition to property show really well. Three of them are near a mass transit. The other two are located in major thoroughfares and we’re seeing healthy activity there. So actually, the occupancy and the signed leases not yet commenced is up.
Jamie Feldman: Okay. So I guess maybe for context, how would you compare the strength of the market today versus maybe this time last year in terms of the amount of demand you’re seeing and maybe the size of the tenants?
Tom Durels: Jamie, it’s strong. I think about where we were last year to until now, I think about the velocity that we’re experiencing now certainly through the latter part of last year into the first quarter here, we have demand on all space types from our street retail to pre-builts to full floors. We’ve steadily increased rents during the course of the year. And the demand is broad-based from a variety of tenants in many different industries. So, look, I like where we’re at. I like how our property is performing. I like the reaction and the response we’re getting from brokers. The showings continue and the proposals and leases and negotiations continue.
Jamie Feldman: Okay. And then sticking with leasing, what are your thoughts on market length growth, both in the city and in the suburbs? And then what are you seeing in terms of concessions? Are your CapEx coming in at all or through rent periods?
Tom Durels: Yes. As I commented before, we steadily increased our asking rents throughout the course of the year in Manhattan from early part of last year right through the start of this year. And generally speaking, our asking rents are anywhere from mid-50s to as high as low-70s at Empire State Building. So that’s a pretty good boost from where we were a year ago. As it relates to concessions assisting the - we haven’t seen any significant drop in concessions. We’ve seen growth in rents. Keeping in mind that as construction costs go up and TI concessions remain static, really you’re talking about almost a reduction in concession. And as concessions remain flat and the rents go up, you’re really seeing those concessions drop as a percentage of the overall deal. So the packages seem to remain relatively constant but what we’re seeing is rent growth.
Jamie Feldman: Okay. Thank you. I appreciate that.
Operator: Thank you. Our next question is coming from the line of Jed Reagan with Green Street Advisors. Please proceed with your question.
Jed Reagan: Good morning, guys. Maybe just a follow up on the impact or potential impact of the U.S. dollars strengthening. Can you just talk a little bit about how the Observatory visitor traffic is trending so far this year, maybe just a little bit about how the quarter is shaping up as you look out there?
Anthony Malkin: Right. I guess that what I would say is that we really look at the entire year holistically. And while we report on quarters, we focus on execution and results over the entire year. It’s interesting that after that 2014 first quarter challenges from terrible weathers and tens of thousands of flights cancellations, the Empire State Building Observatory set a record for visitors and revenue in 2014. We’re going to continue to report on a quarterly basis. But we’re very pleased with the performance of the Observatory and we’re very comfortable looking forward to 2015.
Jed Reagan: Okay. It sounds like there’s some mechanical issues going on just getting folks up to the 102nd floor currently, I’m wondering if you can elaborate a little bit on what’s going on there, how long you think that could be out of service and what kind of revenue ahead that we should be thinking about?
Anthony Malkin: Sure. Due to the extreme cold which apparently the rest of the world had record heat last hear and New York is literally like living in Boston which I understand is very close to the Arctic Circle. And due to this extreme cold, there have been pipe bursts all over New York City and we had one that damaged the machinery for the elevator part of the 102nd floor Observatory. Well, the exact time table as far as returns to service is not certain, we expect it to be very soon. The company maintains insurance [ph] subject to a $25,000 deductible and expects the financial impacts will be absolutely immaterial to ESRT’s financial results.
Jed Reagan: Okay. Thanks. And just I guess related to that, it looked like expenses jumped quite a bit in the Observatory in the fourth quarter just kind of on a sequential and year-over-year basis. And I was wondering if you could talk about what drove that and if you think that the 4Q expense is kind of a reasonable run rate that we’re looking at for this year?
David Karp: Yes, Jed, it’s David. Two things. One, we hosted the World Federation of Great Towers at the Observatory during the fourth quarter. And so we incurred a onetime expense in connection with that event. So you’re seeing that in the fourth quarter numbers. We also incurred higher audio to our payroll and higher advertising and legal expenses during the quarter as well. As we’ve noted in the past, we tend to advertise more in the slower quarters in the fourth quarter relative to the second and third quarter is considered a slower quarter. So you’ll see an increase in advertising in that quarter.
Anthony Malkin: And just to explain the World Federation of Great Towers, believe it or not, is it is close to 100 buildings with observatories in and around the world. And hosting them means we had an elaborate audiovisual set up with simultaneous translation, food and the like for two days, dinners. Everybody came and stayed at the Ace and NoMad Hotels. We had a very Empire State Building district oriented event. So you might not understand what that is, but it’s not an inconsiderable process. And we won’t be hosting for some time and again in the future.
Jed Reagan: Okay. Thanks. And then just last one, you talked a little bit about the Foot Locker space and sort of some of the specifics there. Just I guess curious about active we’re looking for the remaining space and if you can give us an answer whether you feel like it will go and we’ll have some additional leases this year, I guess just how we should think about the lease out [ph] time and going?
Anthony Malkin: Sure. I look forward to making some releases in the future. But the activity is good. And as I said, it’s a very unique space, very much in demand because of its proximity and directly opposite Macy’s flagship store. 34th Street is just an absolute dynamic street for retail. This is a, I call it a once in a lifetime lease opportunity. It’s so rare to have such a clean box right in the heart of 34th Street across Macy’s. We signed the Sephora lease 15 months in advance of the lease expiration for Foot Locker. Again, it’s an indication of the type demand. But I would say that we have activity on the space now. And I look forward to making announcements in the future.
Jed Reagan: Okay. Great. Thanks so much, guys.
Operator: Thank you. Our next question is coming from the line of Tom Lesnick with Capital One Securities. Please proceed with your question.
Tom Lesnick: Hey, good morning, guys. Thanks for taking my questions. A lot of them have already been answered. But I just wanted to touch on average revenue per visitor at the Observation Deck. It clearly surged in the quarter both on the year-over-year basis, which over the last couple of quarters has done the same. And you guys have distributed to ticket mix and all that kind of stuff. But sequentially, it also jumps pretty significantly. I was just wondering, is that also simply just ticket mix or seasonality or how should we be thinking about the sustainability of average revenue per visitor?
Anthony Malkin: I would tell you a couple of things. First of all, it’s known and publicly available but maybe people don’t focus on it enough. We do adjust our ticket prices on the 1st of April each year. One World Trade Center is priced, and has been set at $32. While we’re not a pricing leader, we do set our prices at market rates so we will be raising our price in April given the $32, given that is the market. Number two, we really do focus on fulfilling the available timeslots we have in the year, but also, seasonally. So in order for us to generate growth, we do focus our impulse advertise, for instance, in taxi cabs and the like for hours at the day and times of the year where we’ve got availability. We’ve actually moved our traffic over the last years to smooth out peaks and valleys during our given days. And when we’re growing, we’re growing more in our shoulder periods which is where we’re really devoting our efforts. As far as the pricing increases and the extent to which the per cap increase is above that, we definitely have different pricing strategies and packages in which we participate, the type of customer we’re getting, the ad-ons that they are buying including the visit to the 102nd floor or the express pass. These all impact our per caps. What is sold in our gift store impacts our per caps. And we’re just continuing to get it right. That’s all. We know what we need to do and we continue to work at it.
Tom Lesnick: Okay, I appreciate that color. And then David, just a couple of quick ones for you. On the 3Q call, I think you guys said that the Metro Center prepayment was $2.8 million and it came out to be $3.8 million for 4Q. I’m just wondering if anything changed there. What caused the deviation?
David Karp: Yes. The prepayment penalty itself was $2.7 million. That was the actual cash expenditure. In addition, we ran through the expense of the deferred finance charges that were incurred in connection with the initial financing of the property as well as at the time of the IPO, we incurred finance charges in connection with the assumption of the debt or the new entity by the REIT [ph]. So that accounted for about $1 million worth of non-cash charged which get expense to written off as a result to the refinancing.
Tom Lesnick: Okay, that’s helpful. And then just a quick one on the redevelopment program. Spend today increased about $14 million quarter-over-quarter. But the range to be invested by year-end 2016 decreased by only about $10 million. I’m just wondering if you guys have changed your spend outlook at all, if anything caused you guys to think that you’ve spent a little bit more than you previously estimated?
Anthony Malkin: No. We’re on track with our program. Everything is going smoothly. The significant amount of the redevelopment spend is really at Empire State Building. Much of that is related to the completion of the elevator modernization and things are very much on track.
David Karp: Yes, I mean, I think the point is when we do provide that information, we do give a range because it is very difficult to pinpoint exact costs and timing of these expenditures. But as Tom says, we are pretty much on track with respect to what we expect to do.
Tom Lesnick: All right. Great, guys. Thank you.
Operator: Thank you. Our final question is coming from the line of John Guinee with Stifel. Please proceed with your question.
John Guinee: Great. Hey, Tony, can I get a ticket to next year’s stair climb?
Anthony Malkin: I would just like everybody to know that I have a photograph of John and Michael Knott with two firemen in full gear with oxygen masks getting ready to climb up the run-ups. The firemen I think were climbing the Empire State Building. But we also have a photograph of John and Michael Knott with the two firemen in the bar after the race. So you absolutely are welcome and it was great fun to see you down there and we’re glad you were able to participate.
John Guinee: Well, then make sure you have the picture for the Investor Day.
Anthony Malkin: Believe me, it’s coming.
John Guinee: Right. That’s my only question. Thanks.
Anthony Malkin: Is that your only question?
John Guinee: Yes, that’s it.
Anthony Malkin: All right. Well, I want to thank you all for joining us today. We really appreciate your taking the time to speak with us. And to John’s point, we’d like to remind you to start training now for next year’s run-up. We’d like to see more than two in the analysts slice. We did have to add some first responders in order to make the flight a little bigger. I’d like to point out, I wasn’t sure who would be providing help to whom, whether it’d be the first responders helping John and Michael or if John and Michael had to help these guys who were climbing up with about 70 pounds of gear on them. But that being said, I think it’s also important to let you know that we all hope to see you at our Investor Day in late March. We have a great program that we’re getting ready to put together. We’ll have a bunch of new insights to offer about the company. People will be able to hear from a broader collection of our management team. And there’ll be some really good opportunities to see our properties up close and personal. So we look forward to sharing our continued progress on the Investor Day on our next call. We thank you and have a great day.
Operator: Thank you. Ladies and gentlemen, this does conclude today’s teleconference. We thank you for your participation and you may disconnect your lines at this time.